Operator: Ladies and gentlemen, thank you for standing by and welcome to the JELD-WEN Holding Inc. Fourth Quarter 2022 Earnings Conference Call. I would now like to turn the call over to James Armstrong, Vice President of Investor Relations. Please go ahead.
James Armstrong: Thank you and good morning. We issued our fourth quarter and full-year 2022 earnings release this morning and posted a slide presentation to the Investor Relations portion of our website, which can be found at investor.jeldwen.com. We'll be referencing this presentation during our call. Today, I'm joined by Bill Christensen, Chief Executive Officer, and Julie Albrecht, Chief Financial Officer.  Before I turn it over to Bill, I would like to remind everyone that, during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our Forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance we are providing with respect to certain expectations for future results. Additionally, during today's call, we will discuss non-GAAP measures which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation, or as a substitute for, results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measures calculated under GAAP can be found in our earnings release and in the appendix to our earnings presentation. With that, I'd like to now turn the call over to Bill.
William Christensen: Thank you, James. And thank you, everyone, for joining our call today. I'm honored to join my first earnings call since being appointed JELD-WEN’s CEO in December of last year.  First, I want to thank our more than 20,000 employees around the world for their hard work in 2022, a challenging year with various changes. I'm proud to be working with a great team that wants to win, and I look forward to meeting many more of our associates in the weeks and months ahead.  I’ll first share a bit about myself before reviewing our fourth quarter and full-year highlights, speak to some initial insights from my first 60 days as CEO and then discuss our approach to developing our way forward. I will then hand it over to Julie to discuss our results in more detail and provide an outlook for 2023. For those of you who do not know me yet, I began my career in the automotive industry, followed by some time in the financial markets. I've spent more than 20 years in manufacturing and building products, having served as CEO for two multinational manufacturing companies before I joined JELD-WEN in April of last year to lead our European business segment. Turning to our quarterly and full-year results on slide 4, we ended the year on a positive note, with sales and earnings coming in slightly above the guidance that we provided in October. During the fourth quarter, while demand was still down, it was not as weak as we'd expected and we slightly outperformed our expectations for price and cost. Julie will talk in more depth about our financial performance in a few minutes.  I'll highlight that, in 2022, we invested in higher margin growth areas, including the introduction of our new Auraline composite windows and patio doors in the US, which we plan to continue expansion this year. We also grew the national reach of VPI Quality Windows, with the addition of our new North Carolina manufacturing facility to serve East Coast customers in the growing commercial and multifamily segment. I had a great visit to VPI earlier this month to discuss progress with the local team and view our investments firsthand.  Finally, JELD-WEN committed to new 2050 sustainability goals when we published our annual ESG report in August. ESG will continue to be an important part of who we are as we deliver value to all stakeholders. As I've stepped into my new role, I believe I bring a unique perspective to the company. I have a solid understanding of JELD-WEN, but I'm still new enough to have an outsider's view and look objectively at our global business.  During my tenure as head of Europe and within the first 60 days as CEO, I've seen a lot of challenges within the business, but I also see significant opportunities. I believe there are considerable benefits that can be delivered by addressing our cost base and continuing to streamline our business. As you see on slide 5, we are taking a two-pronged approach, focusing on both the short as well as the long term. This transformation framework is structured around people, performance and strategy. Strengthening the foundation of our business will include ensuring we have the right organization in place focused on trust and accountability, deploying value creation plans to deliver on margin expansion through operational and organizational efficiency initiatives.  These plans include pushing down line of business accountability, rationalizing our global footprint, and strategically addressing topics such as sourcing and commercial excellence. These work streams, some of which are close to or already in the execution phase, will be managed by transformation teams in our different business segments.  Finally, we're focused on delivering strong cash flow conversion to fund the value creation projects that will support our margin improvement. We also have an eye on the long term to deliver more consistent, profitable growth. We need to simplify our long-term strategy, establishing clear deliverables that will drive improved market performance and shareholder returns, while giving customers more of what they value, such as innovation.  For example, in January, we featured our recently launched high-end LaCantina V2 line at the International Builders’ Show. V2 is a state-of-the-art folding door system, redesigned from the ground up, to align with the latest design trends, including more glass, less frame and easy operation to meet the needs of architects, homeowners as well as designers. I will be spending more time in this important area to better understand our pipeline to help ensure we have the appropriate focus on product and service innovation. As seen on page 6, we have already taken a number of decisive steps, managing through the continued lower demand across our business segments. We completed the closure of five facilities in 2022 and recently continued our footprint consolidation efforts with the announced closure of our Atlanta door facility, which we expect to deliver cost savings of $11 million annually. We also announced and completed the closure of a sawmill facility in Latvia linked to a broader outsourcing project with expected annual benefits of more than $2 million. We continue to evaluate further facility optimization and cost reduction actions in both North America and Europe that we will share when appropriate. We are flexing our work force to our demand needs and we are taking steps to reduce our SG&A costs with plans to reduce about 6% of our salaried workforce across North America and Europe. These actions are expected to drive more than $20 million of annual savings, and we will be taking additional steps to address our SG&A costs going forward. During my time leading the European business segment, I witnessed some of our internal complexity first hand. As many of you know, Europe is not a homogeneous market, but a series of smaller markets with specific differences. When I arrived, too many decisions were made at the top level and without the needed local accountability. One of the first actions I took was to push down decision-making authority into the local regions, allowing us to be more nimble in adjusting to the quickly changing market dynamics. And we are addressing similar opportunities in our other regions to further streamline and simplify the company. In addition, the strategic review of our Australasia business is well underway. While we have nothing further to share at this time, we continue to evaluate all options with a goal of maximizing value for all stakeholders.  And finally, on Towanda, after some delay due to court proceedings, the divestiture process is moving forward. Because the divestiture is under court supervision, we cannot comment on the process nor can we guarantee an outcome. Although we are not insulated from the weakening macro conditions in housing across the globe, we are gaining momentum from actions we already have in progress. As we look to the future on page 7, I believe we have significant self-help opportunities that will drive improved performance in the quarters and years to come. These include setting clear targets with well-defined plans, costs to achieve, and active monitoring to ensure accountability, augmented with a greater focus on investment returns and a runway of innovation to drive future growth. We also plan to take a holistic approach as we assess our long-term strategy. This will include looking closely at our entire portfolio and our global footprint.  Specific to capital allocation, we remain committed to reducing our leverage below 3 times. In the near term, our focus will be on reducing our leverage as quickly as possible while investing in strong payback projects to improve profitability.  And finally, we are committed to be more transparent with our investors. We want to provide information that helps explain the underlying drivers of our business and won't shy away from letting you know what went well and what did not perform to our expectations. We are taking the appropriate time to develop long-term goals and we are committed to giving mile markers to those long-term goals, so that you can evaluate our progress along the way. We anticipate sharing results of our strategy review in the second half of this year. However, in the near term, our focus is on continuing to reduce costs throughout the business, rationalizing our footprint and executing on the large strategic actions we have already laid out. I'll now hand it over to Julie to discuss our detailed financial results.
Julie Albrecht: Thanks, Bill. Turning to slide 9, you see our consolidated results for the fourth quarter of 2022. As Bill mentioned earlier, we delivered sales and earnings results in the quarter that were slightly ahead of our expectations, mostly driven by stronger demand across our segments.  Our revenue was approximately $1.3 billion, up 3.5% from year-ago levels. Our core revenue growth was a solid 9%, while foreign exchange translation had an adverse topline impact of 5%. I'll provide additional comments about our fourth quarter sales when I cover the next slide. Our adjusted EBITDA was $99.6 million in the quarter, leading to an adjusted EBITDA margin of 7.5%. While we recognized positive price cost results, this was more than offset by lower volume mix and higher SG&A expenses.  Since inflation was such a significant factor to our results in 2022 and continues in 2023, I want to expand on what we experienced for the full year. In 2022, we recognized approximately $600 million in total cost inflation. However, price increases added about the same amount to our sales, meaning we were roughly price cost neutral for the full year. Approximately 85% of this inflation was in our raw materials, energy and freight cost, with the remainder driven by labor. Moving to SG&A, our fourth quarter SG&A costs were higher year-over-year due to unique timing and amounts of incentive compensation expenses, which more than offset cost reduction actions taken last year. Specifically, SG&A was lower in the fourth quarter of 2021 due to the reversal of incentive compensation expenses, while in the fourth quarter of 2022, we accrued incentive comp expenses at more normal levels and as appropriate for the current year. On slide 10, you see that the primary driver to our fourth quarter revenue growth was higher selling prices, which primarily reflects our price increases put in place to offset cost inflation, as I've just described. Our total volume mix declined by 3%, with a further negative impact from foreign exchange translation due to the stronger US dollar. Moving on to our fourth quarter segment results on slide 11. Our North America segment generated $863 million in sales, up 12% from year-ago levels. Additionally, this segment had adjusted EBITDA of $87 million, up 7% year-over-year, while margins declined slightly to 10.1%. Volume mix was flat in the fourth quarter, while price realization was strong as we continued to adjust pricing to cover significant cost inflation.  North America had strong demand in direct to builder business in Canada due to mild winter weather as well as share gains in interior doors. Offsetting these positive factors were overall market declines due to the slowdown in housing starts.  As 2022 ended, and based on our conversations with customers, we think that our North American customers' destocking activity is generally complete. In the fourth quarter, Europe generated $316 million of revenue and $22 million in adjusted EBITDA, with margins declining to 6.8%. Core revenues were roughly flat as strong price realization of 11%, driven by cost inflation, was offset by weak volume mix. In addition, Europe had a negative top line impact of 13% from foreign exchange translation.  During the fourth quarter, Europe continued to suffer from the weak macroeconomic conditions that are driving inflation on materials and utilities, as well as significant volume headwinds. As 2022 ended, we did see stronger sales flow through retail channels due to restocking. Going forward, we believe that most of the destocking in the region has ended and that inventories are at balanced levels throughout the retail channel.  Australasia had solid fourth quarter results, reporting revenue of $152 million and adjusted EBITDA of $19 million, with margins at 12.7%. Year-over-year volumes were flat, while price realization was 10%. Similar to our other segments, this price increase was driven by continued significant cost inflation. In addition, Australasia’s revenues were negatively impacted by 11% due to foreign exchange translation. Now, turning to the market outlook on slide 13. As 2023 begins, we expect demand to continue slowing across all three of our regions. In North America, higher interest rates are driving declines in single family starts and permits of approximately 20% to 30% year-over-year and multifamily permits have also started to slow. We also believe that repair and remodel activity will decline, though only at a mid-single digit rate. All of this combines for an expected low-double-digit reduction in volume for our North America business.  In Europe, we anticipate that demand will be down by high-single-digits as the market remains soft due to the region's ongoing macroeconomic challenges. On the residential side, we see continued declines in new residential construction while renovation grows modestly. Commercial construction is expected to be flat, while we expect modest growth in commercial renovation.  In Australasia, we are starting the year with strong backlogs and expect our demand to remain solid through at least the first half of this year. Our outlook for full-year demand is a decline of mid-single-digits due to potential slowing later this year, as higher interest rates continue to impact new home construction and commercial growth is hampered by labor availability. On slide 14, you see our outlook for 2023 sales and adjusted EBITDA. We expect full-year 2023 revenues to be between $4.5 billion and $4.9 billion and full-year adjusted EBITDA to be between $360 million and $400 million. Our guidance does not include the impact of the potential divestitures that may occur this year.  Our sales guidance reflects our expectations that core revenue is down 4% to 8%, driven by the lower demand that I've just described. Across our portfolio of products and geographies, we forecast low double digit reductions in demand. Additional assumptions in our sales outlook include a positive impact from previously implemented price increases, but also a 2% to 3% headwind from foreign exchange translation.  Our adjusted EBITDA guidance reflects the impact from lower volume mix, which drops through at a 25% to 30% decremental margin. Most of this earnings headwind is offset by both new and ongoing productivity and cost savings actions, many of which Bill previewed in his comments earlier.  For the year, we expect price cost to be flat to slightly positive as carry forward price increases cover continuing inflationary costs. Also of note, our 2022 adjusted EBITDA included approximately $40 million of non-recurring other income, driven mostly by interest received on impaired notes, certain insurance recoveries and other one-time items that are not expected to repeat in 2023. Due to the combination of typical seasonality in our business as well as the timing of cost reductions, we expect our first half adjusted EBITDA to be approximately 40% of our full year earnings, with the first quarter being the weakest quarter of the year. Now shifting to cash flow, we are keenly focused on improving our cash flow generation over our 2022 results. We expect to deliver strong operating cash flows this year from high quality earnings and working capital reductions. Each segment has an action plan focused on reducing our net working capital by over $100 million, with more than half of this coming from inventory reduction.  In addition, we expect capital spending to be slightly higher year-over-year. These investments are mostly focused on maintaining safe and efficient operations, as well as investing in projects to help us improve short-term and long-term profitability. I'll now turn it over to James to move to Q&A.
James Armstrong: Thanks, Julie. Operator, we're now ready to begin Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Susan Maklari from Goldman Sachs. Please proceed.
Susan Maklari: I think my first question is, you gave us some good details on the -- some of the operating initiatives that are out there. Can you give us a bit more of an idea of how is this different relative to what the business has been through over the last several years? And how should we be thinking about the benefits of those efforts coming through? Will it be something that we start to see in 2023 or will it really be more of a 2024 or perhaps even later years where we start to really get it in the margins and in the underlying operations?
William Christensen: Yeah, thanks for the question, Susan. So, yes, you will start to see some of this fall through to the bottom line in 2023. Why is it different? I can only comment on the time that I've been here. Maybe I can share initial views on what I saw in Europe and maybe swing over then to the US for our first perspective. So, in Europe, when I arrived, too many decisions were being made at the top level, so decisions were being sucked up as opposed to being pushed down. So, there is real lack of accountability. And in Europe, you need to run the business more focused on country level to increase agility, but also to make sure you're holding the local teams accountable. So, what we did is push the model down, set up a value creation plan at the country level, and that's where we're holding people accountable. And we're doing now the same thing in North America. When I arrived, there was a pretty robust aspiration, but I was missing some of the details around measures and actions to really deliver on that. Things like, is the footprint right-sized to the aspiration? Does it match the business reality that we're definitely going into in 2023? Is cost balanced, et cetera? So those are some of the things that we're rolling in to the value creation plan. We set up transformation offices both in North America and in Europe to really monitor and hold ourselves accountable on these value creation plans. So, that's kind of a broader answer, but hopefully that'll give you some detail. And maybe, Julie, you can add some detail around specifics.
Julie Albrecht: Sure. Absolutely. Susan, as we've mentioned in our guidance, obviously, volumes are going to be down this year. Right? We've said low-double-digits. And so – but when you look at the guidance to offset that headwind, right, from a drop-through perspective there on profits, the way we're making up for a lot of that is productivity and cost reductions. And so, that's – the carry forward impact of some actions we took last year related to footprint, related to SG&A, headcount reductions, et cetera, et cetera, that continues this year. So, again, there's carryover cost savings and there is the impact of new actions.  And then, I think just to add a little more color, with Bill, we're clearly focused kind of short term, right, and medium term. And so, we would expect – this year, a lot of our focus is on gap closure, right, and strengthening the foundation that Bill has mentioned. And obviously, we would expect more to come in the future years from a cost reduction and improving profitability.
Susan Maklari: Okay. That's very helpful color. And then, thinking a bit about the North America business for 2023, you mentioned that direct to builder sales were strong through the quarter. A lot of that destocking is hopefully behind you. How are you thinking about the relative moves in the different channels for this year and how that might come together as we move through the quarters?
William Christensen: Yeah. Okay. So, obviously, it's a very mixed picture. I was at the KBIS show with a number of different colleagues a few weeks back, and there was a couple of key messages. Maybe give you some additional perspective on the market. So, clearly, the view today is a lot better than it was three months ago. There still is an affordability issue in general in the sector. And clearly, that has an impact that we're seeing clearly with our expectations that down double-digit on the residential build side.  On some retail, we expect it may be more moderate just because R&R is holding up. 40% of our housing stock in the US is over 40 years old. So, clearly, if people are holding because they're uncertain, they may consider small renovations at home. So, we think that R&R will stabilize a bit more than the residential decline that's anticipated. And as a result, it's pretty hard to give a clear view on that. But that balances out to kind of our view on a low-single digit decline overall in 2023 – a low-double digit, excuse me. Low-double digit decline in 2023.
Operator: Our next question comes from the line of Keith Hughes from Truist. Please proceed.
Keith Hughes: You had highlighted the volume decline you're expecting during the year. Can you just talk about what you think the pacing of the volume declines will be maybe first half versus second half?
William Christensen: Yeah. So, what we're seeing is that we feel inventory has rebalanced in Q4 actually across most of our regions. So, in Europe, in North America as well. We think it will start to stabilize in 2023. Our expectations, clearly, is that H1 will be more turbulent than H2. And we expect to see a balancing settling out of demand in the second half of the year. We expect the first half still to be challenging. That's the current view.
Keith Hughes:  Okay. And based on the EBITDA split in first, second half – second half, the midpoint, you're going to be up a little bit year-over-year. Is that driven by volume increases or is that more driven by cost – cost savings, sorry?
Julie Albrecht: Yeah. Keith, just to clarify, you're talking about first half versus second half margins?
Keith Hughes: Well, just the EBITDA split you gave seems…
Julie Albrecht: Yeah. Yeah.
Keith Hughes: …to imply a little bit of improvement in the second half. What’s going to drive that is my question.
Julie Albrecht: Yeah. Most of that improved profitability in the second half is cost reductions continuing to take hold. So, various things. When you think about the announced closure of our Atlanta doors facility that we made, I believe that was the end of January, that project will be coming to closure, literally closure in the coming months. So that cost savings will occur second half of the year.  There are other projects that the operations are working on that are getting approved and implemented now and into the second quarter that will take hold in the second half as well. So, really, it's just a continued momentum and growing momentum of cost reductions as we move through the year. Not as much – it's a little bit of improved volume kind of phasing-wise, but it's really more cost takeout.
Operator: Our next question comes from the line of John Lovallo from UBS. Please proceed.
John Lovallo: First one, just kind of dovetailing off of what Keith mentioned, there's about $600 million of total cost inflation that you guys talked about. Raw mat, energy, freight, I think being 80% of it. Can you just give us an idea of where the run rate is today?
Julie Albrecht: Yeah. We're definitely seeing absolutely continued inflation, albeit definitely at a lower rate. Bill can add any more color there. But that's – last year, those numbers that we said and that we experienced were in that kind of 20% to 25% inflation on a full-year basis. This year, we're expecting that kind of more like 8% to 10%. So, definitely continued inflation, but at a lower rate. Bill, I don't know if you want to add any more color?
William Christensen: Yeah. What we're seeing is the logs and lumber are softening in Europe, as an example, just because demand is off. But there's other things that are being driven by energy input costs like glass, which continue to increase. Hardware has been increasing. We're getting price ups from our supply base as well. So we still believe that 2023 will be an inflation environment. We do not see deflation currently. We're rolling, obviously, forward some price from 2022 and we expect that's our job to balance that in 2023. But no signs yet of a deflationary environment.
John Lovallo: Bill, you outlined, as Sue was mentioning, a number of strategic initiatives on the operating side. Curious what you're most focused on on a daily basis?
William Christensen: Yeah. So it's quite clear. We need to address the cost base. We need to do our homework there, obviously, based on the market reality, but just also based on our financial performance today. We need to de-lever. We need to get ourselves under 3 times and we clearly need to improve the cash flow generation, so we can invest in some of these very attractive projects which the organization is now putting forward, which they should be doing obviously. So, that's the short-term focus that Julie and I have to really strengthen the foundation and then get ourselves ready to build out on that later in the year.
Operator: Our next question comes from the line of Matthew Bouley from Barclays. Please proceed.
Matthew Bouley: So just first one, shifting over to Europe and sort of the end market outlook there, I think you spoke to high-single-digit market declines overall. I think if I heard you correctly, the bulk of that is coming from resi new construction. I think you said resi R&R might be up, commercial new might be flat and maybe still some growth in commercial R&R. So, maybe just focusing on those segments that are flat or up, any additional color on kind of the confidence there, and why the sort of end market outlook in Europe has such variation with the resi new side being weaker but still seeing some growth in other areas? Thank you.
William Christensen: Yeah. Thanks for the question, Matt. So, Europe, as you know, is a mosaic of a number of different countries and segments. Just in general, residential is down. I think everyone is aware why. Costs are increasing significantly, cost of borrowing is increasing significantly, so that has a very short-term whiplash effect on starts and consumer confidence.  If you roll over to the other segments where we also participate, and one of which is commercial, those are typically projects with longer lead times, there is a stronger pipeline, there is government funding that typically is sticky and doesn't drop off right away. So, we are still seeing favorable development in that market segment. So that's balancing some of the weakness that we have on residential.  And on the R&R side, in general, there's an aging housing stock across Europe. People don't typically flip houses. They buy and hold, but they also renovate to keep it up to certain standards. And that's why there in general is a good underlying are in R&R business. However, based on the significant inflation that a lot of consumers are experiencing on their energy bills, people are holding off right now on swapping outdoors or doing something else. So, we think that that will recover as soon as there is certainty of energy supply and cost across Europe.  And clearly, one of the first things that needs to happen to get to certainty is a resolution to the war that's currently ongoing in the Ukraine. And there is a small upside. Costs are not as dramatically increasing as anticipated, just based on warmer weather. But we do need a resolution to the conflict in Ukraine before we feel that there's a clear swing in the sentiment and everything goes very positive.
Matthew Bouley: Second one, just assuming everything goes according to plan with both Australasia and Towanda, curious if you'd kind of update us on your thoughts around leverage, where do you want to be from a leverage perspective? And any kind of thoughts on the use of proceeds there between organic investment, CapEx and share repurchase? Thank you.
William Christensen: Of course, we do need to get our leverage down below 3 times. That's urgent and important, and we're well aware of that. But we also do need to make sure that we have capital available to invest in projects that we think are highly attractive and will present good returns as we go through our transformation process. So those are two clear buckets.  Clearly – and we see this already – there's a lot of M&A activity starting up because there's a disrupting view in the market currently on how things shake out. So both arms are something that we're going be looking at in the future and we want to make sure that our balance sheet is strong enough to allow that flexibility. But, again, short term, it's de-levering and it's investing in ourselves and the projects that we feel will present good return. Julie?
Julie Albrecht: Yeah. Absolutely, Bill. And I'll just add and Bill mentioned this in his comments. We're really focused on just good organic cash flow generation as well. We really view 2022 cash flow results as an anomaly.  When you look back at prior years, that's the level of cash flow we're expecting our business to get back to this year. And so, in addition to potential proceeds from divestitures, we have the real intense focus on just generating our own cash flows to also fund de-levering and investing in ourselves. And then, as Bill mentioned, opportunistically, anything else, that we would look at from a capital allocation.
Operator: Our next question comes from the line of Phil Ng from Jefferies. Please proceed.
Philip Ng: Congrats on a really strong quarter. I guess big picture, Bill, operationally, JELD-WEN’s gone through a lot of restructuring with different leadership over the years. What do you see as the big missing piece to delivering more consistent results? Is it the asset base that's been under-invested? And when you think about portfolio construction, anything else outside of Australasia that you guys are taking a harder look whether it makes sense being under JELD-WEN?
William Christensen: Yeah. So, maybe I’ll start at the end of your question, Phil, and head back to the front after. So, clearly, we're going to be looking at everything and really delivering a plan to the market in the second half on how we want to unlock value because clearly it's there, but the homework in the short term is cost base, as we discussed today, and de-levering. There is a high level of complexity in our organization. We do have a number of sites around the world. And I would say, in general, some of the sites probably have been underinvested. So that's why we're working through the footprint project to really make sure we have the right assets in the right areas. And then, we need to make sure that we're investing in them, which we are doing, and putting in the right level of automation, making sure we're balancing cost in those operating facilities to get ourselves at or above market levels of efficiency. So, clearly, that's the homework that we have ahead and these are some longer term plans. As you may know, making footprint changes in Europe, for example, is a lot more challenging and complex than it is in North America. But we are well into our project of defining where we want to play from a footprint standpoint and where we do want to play, clearly, will be investing in those assets to make sure they're at or above market competitive levels.
Philip Ng: With inflation still pretty prevalent, guys, is your guidance assuming just carryover pricing and do you need to take more price from here? And just given a weaker demand backdrop, any pricing pressure? In the past, we've seen from time to time line reviews in the home centers. Give us an update on where are you seeing on just competitive activity on the pricing side of things? Thanks.
Julie Albrecht: Yes. So, maybe I'll start there. Absolutely. The way we're starting the year is most of this year-over-year benefit in pricing is carryforward pricing. And we're just watching real closely how does inflation continue. We have, obviously, inflationary costs from last year in our inventory that we will be selling through and running through the P&L, call it, the first quarter of this year. And so, I'd say we're pretty balanced looking at any new price increases. Most of what we've planned for this year is – especially as we start the year is carry forward. Bill, maybe you can talk about some of the market dynamics.
William Christensen: Phil, so maybe I'll reference back to KBIS a few weeks back in Las Vegas, met a number of our key retail partners and there was a few key messages. Obviously, not just retail partners that I met, but this is probably more detail based on the question that you asked. So, there was a couple of key messages that came out. Number one is that they're looking forward to more continuity at senior levels of leadership within the JELD-WEN organization. So that's number one. And clearly, that's something that we said will change. That's why I'm here. So that was number one.  Number two, there was a lot of talk about growth opportunities. Everyone believes that the affordability issue right now is holding a lot of prospective buyers and renovators and upgraders of homes and apartments on the sidelines. So, finding a way to unlock that demand and also get ourselves prepared for the rebound, which will happen, and make sure that we're able to support our retail customers with their growth plans as they look to kind of that upswing on the back end of the downturn. So, it was very positive.  There was very little discussion around pricing. The view on the market still is that most of the economics are being pushed through to the end user, clearly, creating some of the affordability topic. But there was more discussion on growth and opportunity and less really on line reviews and economics.
Operator: Our next question comes from the line of Mike Dahl of RBC Capital Markets. Please proceed.
Michael Dahl: I want to follow up on the EBITDA bridge. And, Julie, I'm not sure if I heard your remarks exactly in terms of the $40 million that may have been non-recurring in 2022. So, maybe this will be part of the answer. But when I look at your volume decline of low-double-digits and a 20% to – 25% to 30% decremental, on a $5 billion sales base, that would imply roughly $150 million of decremental EBIDTA. And your guide – again, I'm not sure exactly what I heard on the $40 million, but if $40 million was non-recurring, then you're effectively guiding to flat EBITDA year-on-year at the midpoint, which – that seems like more than what you've articulated in terms of the cost saves and productivity. But maybe you can help us out and elaborate a little more on what gives that conviction?
Julie Albrecht: Yeah, absolutely. And I think, call it, the drop through to gross profit level of that, call it, $100 million to $150 million is what we're looking at as well. So, that's one headwind, call it the biggest headwind.  And then, just to go to your other point on other income, we did have, in 2022, call it, 40 million-ish of unique items that, again, we would not expect to reoccur. So, again, those two are the headwinds.  So then, what you have there is, call it, in that 100-plus-million-dollar range of productivity and cost reductions, so that is the amount between, again, carry-forward benefit from things we did last year that will help us, call it, year-over-year in the first half of this year and additional actions we've either taken or will be taking this year.  And so, you're right that the midpoint of the guidance is roughly around the same EBITDA margin that we delivered in 2022. But we have a lot of conviction on that number. And again, as Bill's been saying several times already this morning, really cost takeout is a top priority for us, especially in this environment.
Michael Dahl: I certainly appreciate all the cost takeout actions and [indiscernible] early on. Especially in a down volume environment, I think historically it's been tough to see some of those numbers flow through to the bottom line. And I guess that'll be kind of a question going forward. And part of the follow-up would be, on these closures and the cost actions, there's a lot of closures now that seem to be either underway or between what was started last year, what's going to be complete this year, how should we be thinking about potential sales impacts from that? I understand there were inefficiencies, but it still seems like a lot of product to have to move around the network to not give up any sales on that type of restructuring?
William Christensen: I can take that. So what we're doing, basically, volume is off. So, there's two things that we're doing. We're pruning the portfolio where we believe that we're not well positioned to generate the profitable growth. So, that's a self-selected opportunity to optimize our portfolio. And second is, it's basically a consolidation taking plants offline and moving those sales into the other existing network. So, we're not losing sales, but we're reducing our fixed cost base.
Operator: Our next question comes from the line of Michael Rehaut from J.P. Morgan. Please proceed.
Michael Rehaut: First question, I was hoping to also get a little clarity on the top line guide for fiscal 2023, how you're thinking about FX? It seems like there is almost a range of FX, if you're talking about core down 4% to 8% and total down 4% to 12%, I believe. So, I just wanted to make sure if I'm not missing anything there on the FX components. And also, how to think about – if pricing is also with some of those ranges. I just want to make sure I'm thinking right about the contribution from price in 2023 as well.
Julie Albrecht: I'll try to help out there. So, just specifically to foreign exchange, at this point, when we start the year, we're looking at a top line headwind of 2% to 3% from foreign exchange. So, that's – again, that's baked into the guidance.  And then back to core being down 4% to 8%, obviously, again, that's the combination of volume mix and price. So, offsetting the low-double-digit volume decline is, call it, 4% to 5% of mostly, again, carry forward price increases. So you should be able to do all that math and get to the sales guidance range.
Michael Rehaut: I guess, just also thinking about – I know it's kind of an ongoing journey, so to speak, in terms of your cost structure and the different actions you’ve taken. You talked about $100 million or so, I believe, from productivity and cost reductions that you took in 2022 and expect to take in 2023. A lot of times, productivity is a word that's used a lot of times more just kind of another function of operating leverage. I was hoping to zero in on the cost actions that you took last year and maybe expect to take this year and how to think about, on an annualized basis, what the benefits are at this point from both the actions taken in 2022 and what you expect to take again at this point? I know you might take more in the future. But if you can kind of break those two out. I'm just trying to understand the benefits so far or cost savings from the restructuring or different types of actions that you've taken, again, either in – both in 2022 and as of today what you expect to take in 2023.
Julie Albrecht: Yeah, absolutely. So, I guess, starting with actions we took in 2022, which again, as we've mentioned, are – and kind of similar to this year, the combination of footprint rationalization. We've closed five sites between North America and Europe last year. Those are basically done now. And so, any partial savings from last year – there is, again, some carryover savings this year – headcount reductions, and then, again, just generally tightening of the belt around controllable cost.  The bottom line, last year, we estimate that annualized impact of things we did in 2022 is about $80 million of cost savings, roughly split between benefiting 2022 and then carryforward benefit in 2023. So that, call it, $35 million, $45 million is part of what's helping us this year, again, if we want to kind of pick that $100 million number that I mentioned. So, the rest of that for this year then are, again, actions that we're taking this year. And so, currently, we've got another, call it, $70 million, $80 million that we already have identified that are either taken or in an approval – kind of approval process, implementation process that we would expect to benefit us this year. And so, that's again – call that the balance of the, call it, $50 million, $60 million of benefit in cost savings this year. So, again, it's site closures, it's headcount reductions. It's looking at things like, in North America, how do we manage more holistically our logistics and transportation, and so how do we, call it, leverage ourselves better than we've done in the past? That's something we haven't really maybe highlighted a lot, but how are we not just in transportation, but other areas, especially in procurement, leveraging the buying power of JELD-WEN, especially in North America.  So, again, all of that combined between 2022 actions, 2023 actions is getting us to this expected cost takeout this year. And I think you're kind of right about productivity. I think productivity is a little bit table stakes in the normal course. It helps us with efficiency of the footprint and, obviously, some cost savings, labor out, et cetera, but what's the dial mover for us are these very specific intentional cost reduction actions.
Operator: Our next question comes from the line of Reuben Garner from Benchmark Company. Please proceed.
Reuben Garner: Congrats, Bill, on your first quarter and call. So, maybe just – not to beat a dead horse, but the cost savings, you mentioned footprint rationalization or I think facility consolidation, I can't remember how you framed it, but can you talk about where utilization rates stand and how much capacity is coming out? I know you've got a lot of different product lines and types, but if you could kind of just generalize where that sits, that would be helpful.
William Christensen: It's hard to put one number on that just based on the complexity of our business. And, obviously, with an expected decline in core revenue of high-single-digit, there's clearly room to further consolidate the footprint. However, for us, the view is always balancing the short-term profitability and then the long-term growth trajectory. So, that's why it's bringing the points together on the segments that we see really strong growth in. We've talked about it on the call today. The VPI business in the multifamily is doing exceptionally well. We're actually adding capacity. The LaCantina products are doing exceptionally well, so we're investing in adding capacity and we're balancing on the other side. So I'd say, in general, it's a good environment to do your homework, which needs to be done, and that's what we're doing.
Reuben Garner: On the volume side, and this is probably North America doors specific question, but any changes in the trajectory of the number of doors per home, is that a potential tailwind this year? Just if we see starts down 20%, would it be something less than that as folks are adding whether it's offices or gyms or different things in their homes? I know that's a measurement that's been under pressure over the years, but it seems like it's reversed of late.
William Christensen: Yes, I would say no. Just in general, it's – that would imply that there's clearly a trend to either much smaller rooms, so you need more doors and much larger houses, so you have more and more doors. We're more focused on driving the areas where we see the opportunity in multifamily, for example, in high end exterior windows and solutions like LaCantina delivers. So, that's where we see more value per transaction and that's what we're actually focused on. And I think that's the longer term better play for us and that's why we're investing in those areas as well. So, no to the first question, but increasing the richness of the mix is clearly something that John and his team in North America are focused on.
Operator: Our next question comes from the line of Steven Ramsey from Thompson Research Group. Please proceed.
Steven Ramsey: I wanted to focus on the growth products for you guys, Auraline and VPI. Are these margin drags at this point in 2022, 2023? And as you scale up the revenue on these operations, do you expect these two products could surpass corporate EBITDA margins?
William Christensen: Yeah. So, the clear answer is yes. And that's why we're investing in these product lines. They're a strong pull in the market. We feel we have very attractive products that are clearly meeting the expectations of the consumers. And as you well know, anytime that you're ramping up a product or project, there are startup costs and expenses, running into tools, et cetera, et cetera. So, clearly, with the Auraline, we have that behind us last year, we're growing at or above our expectations for the internal business cases. So we're very happy. And same thing with VPI. I spent a day at a plant up here on the East Coast a few weeks back, and they have a six-month backlog of orders headed into a very robust market environment on the multifamily. So, we're very pleased with those two segments, which was your specific question.
Steven Ramsey: On the flip side, on the portfolio pruning part of the equation, can you share a little more detail? Is it more doors or windows geared anything by geography? And is this a multi-year effort? Or is this something that maybe you're nearing completion on?
William Christensen: Yeah, no. So, I'd say this is a multi-year effort. The portfolio pruning specifics that I was referring to was in the European portfolio. One of the things that we did is we actually stepped out of the windows business through the closure of our three sites in Melton Mowbray in the UK, just because it was a loss leader, we didn't have the right competitive platform or position. And our view is, clearly, we need to get the resources and capital focused on where we believe we can win. So that was one of the areas where clearly it was an easy decision to step out of that segment, close the sites, and really focus on driving the growth across the door portfolio. And within the portfolio, we're also focusing on pruning and balancing between exterior, interior, high performance. So those are all areas that are constantly ongoing. And things also that John and his team in North America are clearly looking at, really figuring out how we have the right portfolio setup for longer term growth.  And then, if you look on a macro level at our enterprise portfolio, clearly, we've announced, and we mentioned it today on the call, two areas that are relevant in this regard. One is obviously strategic review of our Australasia business, which is on track. No further comment on that. And second would obviously be the court ordered divestiture of our Towanda asset here in North America. So those are things that could potentially also have an impact to simplify and/or streamline our portfolio.
Operator: Our final question comes from Truman Patterson from Wolfe Research. Please proceed.
Truman Patterson: Just wanted to follow up on Mike's EBITDA bridge, right? If we're assuming $150 million or a little bit more of an EBITDA headwind from lower volumes, another $40 million in other costs that will be returning, I heard on the call $100 million in productivity and cost reduction. There's still kind of a $90 million bridge. Is that purely you all maintaining really robust pricing across these?
Julie Albrecht: Yeah. I think a couple of things. I think, again, all of these are – they should be ranges, right? And so, as we start the year, right, we feel good about what we – I'll say no today. But, obviously, it remains a pretty challenging macroenvironment for all the reasons that we all know about. So, again, I'd say volume mix dropped through, call it, $100 million to $150 million. And again, the other income dynamic, I’d say a little more sad. I guess you never know what might come up this year from a benefit perspective, but nothing that we really know of that's material. And again, I threw out $100 million. That's like a point, but call it plus or minus $20 million or so. I'll just say that from a cost out perspective.  When it comes to price cost, right now, our outlook is flat to slightly positive. And so, that dynamic, as we go through the year, I guess, will stay very dynamic. And so, I think the key here, Truman, is these are ranges and I think you've just got to kind of work with that. But everything is directional from what we're expecting in these big buckets.
Truman Patterson: In the 2023 pricing assumption of 4% to 5%, if I heard you correctly, that is primarily carryover, but there might be incremental pricing throughout the year embedded in that. And then, also in North America, you all mentioned market share gains in interior doors in the builder channel. Was that purely from improved capacity, new design and production, volume rebates? Just what kind of occurred there?
William Christensen: Let me take the last part of your question, Truman, before Julie can comment then on the pricing. So, clearly, you know that we supply some very large retail partners in the North American market. The business is regionally run and there are always opportunities to look at different regions to increase our penetration and better balance market share with our customers. So, this is an ongoing process and probably one that will never end. They're managing their line card, we're managing our penetration strategy with these different retail partners. So, that would be the answer to your second question. Then, Julie, maybe on the price, you want to…
Julie Albrecht: Yeah. Definitely on the pricing, most of what we're expecting at this point is carryforward price benefits. And when you look at our price cost dynamics last year, we were, call it, price cost negative first half and then price cost positive, landing pretty neutral for the year. But the point is, it does give us the benefit in the first half of this year of, call it, year-over-year price gains.  And then, I think, when it comes to additional price increases, again, this is a very dynamic environment, right? What is inflation doing? Obviously, demand is down. And so, I'd say we're cautious when it comes to planning or expecting kind of, call it, opportunistic price increases. This really isn't the environment for that type of action.
Operator: That does conclude today's questions. I would now like to turn the call over to James Armstrong for closing remarks.
James Armstrong: Well, thank you, everyone, for joining our call today. If you have any follow-up questions, please reach out and I would be happy to answer. And this ends our call and have a great day. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's call. Thank you for your participation. You may now disconnect.